Operator: Good day, and welcome to Cushman & Wakefield's Fourth Quarter 2024 Earnings Conference Call. All participants will be in listen-only mode. I would now like to turn the conference over to Megan McGrath, Head of Investor Relations. Please go ahead.
Megan McGrath: Thank you, and welcome to Cushman & Wakefield's Fourth Quarter 2024 Earnings Conference Call. Earlier today, we issued a press release announcing our financial results for the period. This release along with today's presentation can be found on our Investor Relations website at ir.cushmanwakefield.com. Please turn to the page in our presentation labeled cautionary note on forward-looking statements. Today's presentation contains forward-looking statements based on our current forecast and estimates of future events. These statements should be considered estimates only, and actual results may differ materially. During today's call, we will refer to non-GAAP financial measures as outlined by SEC guidelines. Reconciliations of GAAP to non-GAAP financial measures, definitions of non-GAAP financial measures, and other related information are found within the financial tables of our earnings release and the appendix of today's presentation. Also, note that throughout the presentation comparisons and growth rates are to the comparable periods of 2023 and in local currency unless otherwise stated. With that, I'd like to turn the call over to our CEO, Michelle MacKay.
Michelle MacKay: Thank you, Megan. And good morning to everyone, and thank you for joining us today. We concluded 2024 with unparalleled momentum reporting our highest capital markets revenue growth since the first quarter of 2022. And another robust quarter of leasing growth. Our services business is now solidified and invigorated. Poised to reaccelerate and further supported by investments going into the platform this year. 2024 produced one of the highest free cash flow conversion percentages in the history of the company. And that positions us well to pursue top-tier talent, invest in our services business, and execute on our growth plan inclusive of M&A. We've developed a strategy that includes a commitment to delivering progressively improving earnings growth over the next several years. As of now, the macroeconomic environment as it pertains to property is largely favorable. The economy is growing, creating jobs, corporate profits are healthy. Odds of a recession have receded. All of these factors have created a healthy backdrop for leasing. And our own performance confirms that leasing has momentum as we have now had five straight consecutive quarters of year-over-year leasing revenue growth. For capital markets, we are observing early stages of a recovery. For two years, the market was largely recalibrating to higher interest rates. That was the hardest part. But now we are largely past that. Property values have corrected, central banks have begun reducing rates. Debt costs and availability of debt have improved, because lenders are sensing the inflection. And buyers and sellers are proving that they can do deals in this environment as evidenced by our Q4 performance. For our 2025 outlook, we expect leasing revenue growth to remain solid. We continue to observe green shoots in office, return to office is gaining momentum, net absorption is improving. And nearly half of the markets that we track registered positive absorption in Q4. And a healthy pipeline of expiring leases will create steady deal flow. Industrial is normalizing but its growth engines of e-commerce, consumer spending, third-party logistics, and supply chain optimization remain strong. In capital markets, we are not calling for a hockey stick recovery because interest rates will more than likely remain high in this cycle. The Fed funds rate isn't likely going to be zero again. And the ten-year yield isn't going to be two again. So we won't get the frenzied activity that we did coming out of COVID. But based on what we're observing and if current trends hold, we will likely get a good bounce in 2025 as confidence in our sector continues to grow. We believe that we are in the early innings of a multiyear upcycle in commercial real estate. And so we are accelerating investments across our platform in 2025. This cyclical uplift combined with the work we are doing to accelerate profitable growth and our continued commitment to improving our balance sheet makes this an exciting time to be at Cushman & Wakefield. I want to thank our teams across the globe for an exceptional 2024. And for driving us forward with our new vision, to be known as the premium brand in the industry and to set the standard across the built environment, for problem-solving through exceptional advice in the execution of services. Now let me hand the call over to Neil Johnston to review our financials.
Neil Johnston: Thanks, Michelle, and good morning, everyone. In 2024, we achieved our financial objectives of improving free cash flow, protecting margins, and fortifying our balance sheet. We strengthened our financial foundation to lay the groundwork for sustainable long-term growth. For the full year, fee revenue of $6.6 billion was up 1% and adjusted EBITDA expanded 3% to $582 million. Our EBITDA margin improved by ten basis points to 8.8%. Adjusted EPS was $0.91, up 8% from last year, setting the base for future growth. We delivered $167 million of free cash flow for the year, $66 million higher than 2023, an improved conversion as a percentage of adjusted net income to 79%. Our strong cash flow enabled us to pay $200 million of our 2025 term loan ahead of schedule. We also lowered our borrowing costs through four term loan repricings over the past year. We closed the year with $793 million in cash and cash equivalents and $1.9 billion in total liquidity. Our leverage ratio improved to 3.8 times from 4.3 times at the end of 2023. So before providing our 2025 outlook, I'll give some details on our quarterly results. Q4 revenue of $1.9 billion increased by 4%, building on the momentum we drove in the third quarter. Underlying the 14% growth in brokerage revenues, capital markets revenue was up 36% globally, exceeding our guidance as the environment for transactions continued to strengthen. And our leasing business delivered another strong quarter, up 7%. Adjusted EBITDA of $222 million increased 6% as the double-digit improvement in brokerage revenue was balanced against the ramp-up in growth investments we discussed last quarter, and a $7.5 million decrease in earnings from equity method investments. For the full year, earnings from equity method investments declined $21 million, primarily attributable to reduced transaction volumes in our Greystone joint venture, driven by tighter lending conditions in 2024. Moving to service line performance for the quarter. Beginning with leasing, Americas leasing remains a key area of strength, growing 12% in Q4, the second straight quarter of double-digit growth. Demand was solid across deal sizes and asset classes, particularly in office, as tenants continue to seek out high-quality spaces. We expect continued strength in 2025, supported by a resilient US economy and increased return to office trends. APAC leasing was stable in Q4 with strong results in Australia and India offsetting challenges in China. Our strong market positioning in India positions us to benefit from the country's rapid economic growth, expected to be among the highest globally over the next decade. Lastly, EMEA leasing contracted 15% in Q4, due to a tough comparison against last year's 13% growth. Capital markets rebounded strongly in Q4, America's capital markets revenue rose 33% fueled by industrial deals and strong office activity. EMEA increased 20% led by France and Eastern Europe. APAC improved 92% driven by Japan and Australia, reflecting the benefits of our investments in the region. In services, while 2024 was a year of restructuring, focused on improving margins and setting up future profitable growth, fourth-quarter service revenues grew 1%, excluding the impact of the non-core divestiture early in the year. Americas services revenue increased 3% in Q4 excluding the divestiture, driven by property management and facilities management. APAC Services declined 7% due to prior year one-time project revenue but ended the year up 3%. EMEA Services returned to growth in the fourth quarter rising 1% as we completed margin improvement transitions and refocused on growth, especially in design and build. Our services platform is a key investment focus in 2025. Moving now to our outlook. We entered 2025 with a stronger capital structure, lower interest expense, solid cash reserves, and clear capital allocation priorities. Last year, we outlined our plan to increase investment spending while strong Q4 results and positive market conditions reinforce our confidence that transaction volumes have stabilized making this the right time for long-term investments. For 2025, we aim to accelerate services growth, targeting a run rate of mid-single-digit top-line growth by midyear with steady progress throughout the year. We expect leasing growth to remain strong in the mid-single-digit range supported by resilient global economies and durable secular tailwinds in office and industrial. We expect full-year capital markets growth to accelerate in 2025 from the mid-single-digit rate we reported for the full year of 2024. The magnitude of the acceleration is dependent on interest rate volatility, investor sentiment, and continuing availability of capital.
Michelle MacKay: On the cost front, we will carefully balance increased investment spend with a focus on long-term returns and value creation. As we have previously stated, we anticipate our incremental investments to be a near-term headwind to margin improvements, especially in seasonally lower volume quarters. As a result, we expect first-quarter margin to be relatively flat versus the prior year. In closing, we are pleased with our strong quarterly performance and remain confident in our financial plan. We expect to achieve improved earnings per share growth in 2025 compared to 2024, driven by our core business strength and disciplined execution. The investments we are making now will fuel sustainable growth with even stronger earnings growth anticipated in 2026 and 2027, delivering greater value for our shareholders. With that, I'll turn the call back over to Michelle.
Michelle MacKay: Thank you, Neil. In speaking to capital allocation, our investment and growth strategy is a multifaceted layered approach aimed at driving steady expansion in EPS. Each layer of growth builds and complements the other. Layer one is talent. As we stated in last quarter's call, we have seen a significant increase in top-tier talent retention over the past year due to intentional actions that we have taken to retain our best and brightest. Additionally, you can also see publicly that we are recruiting significant new talent to the firm. And this process has been ongoing in earnest since the fall. For example, Myles Treaster, our new head of US Capital Markets, has already brought in ten new capital markets professionals in the past four months alone. Layer two is funding steady organic expansion. This is where it's been deliberate, gradual, and achieved through internal efforts rather than external acquisitions or major investments. It reflects our focus on leveraging our existing platform by improving efficiency, nurturing customer relationships, and enhancing core competencies over time. Due to our scale and global footprint, we have considerable opportunity here to expand within what we already have. And layer three is strategic tuck-in growth. This is an ongoing commitment to small-scale acquisitions that complement the core business or expand us into closely related areas targeting steady and synergistic growth. We are looking at acquisitions that have low integration risk with appropriate reliance on cost synergies to achieve underwriting goals. Within each growth layer, we are already actioning multiple options and will continue to add to the pipeline in 2025. We believe this plan provides the pillars for attainable, accretive, and progressive long-term growth. Let me now hand back the call to the operator for questions.
Operator: We will now begin the question and answer session. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. We ask that you limit yourself to one question and one follow-up. At this time, we will pause momentarily to assemble our rosters. The first question comes from Stephen Sheldon with William Blair. Please go ahead.
Stephen Sheldon: Hey. Good morning. Thanks for taking my questions. First, I guess, is there any rough framework you could provide for how we should be thinking about margins for the full year 2025? I appreciate the commentary that margins will be flat year over year in the first quarter, but it just seems like there are a lot of moving pieces this year between reinvestments across the business and some of the initiatives that Michelle you talked about, and then clearly assumptions on the transactional uplift given the high incremental margin there. So, you know, any rough frameworks for how we should be thinking about margins, you know, full year would be helpful.
Michelle MacKay: Thanks for the question, Stephen. Yes. To your point, we are going to have some pressure on margin given the amount of investment that we're going to be making over the course of the year. That is in the best long-term interest of the company and its performance. Let me have Neil give you a little more guidance around that for clarity.
Neil Johnston: Yeah. Sure, Stephen. So what we've given you is a framework around how we're thinking about revenue. And then what we're going to do is balance investment spend with our growth. As always, we see about 45% of our revenue in the first half with 55% in the second half. So the first-quarter margin guide that is our smallest quarter, and that's why you're seeing the flat margins there. You know, what we committed to as a management team in 2025 is really delivering accelerating earnings growth. Not just this year, but in the following years. So we expect at a minimum to outpace the 2024 EPS growth of 8%, and we'll really balance investment depending on what we see, primarily capital markets during the year.
Stephen Sheldon: Got it. And maybe just on that, I think with the commentary, you're expecting acceleration versus 2024 in capital markets. Can you just talk some about what you're seeing in the pipeline and then any color on how activity has maybe fared in the first six, seven weeks or so of 2025? I guess, how's the fourth-quarter momentum continued at least into the early part of the year?
Michelle MacKay: We saw a bit of a pause in January in our execution. The pipeline is really strong. But specific to us, what we're starting to see is more of the institutional investor coming to us, and we recently executed on a $950 million financing. Which I would say is probably, you know, one of the larger deals that we've done in the history of the company. So we're seeing a shift in the makeup and the composition of our pipeline in particular, which we have a lot of strength in the middle market in capital markets. Which people tend not to talk about as much. But now we're starting to see a stronger mix into that institutional player as we work on and invest in our institutional capital markets platform.
Stephen Sheldon: Got it. Yeah. That's great to hear. That's exciting. Maybe just one last quick one just in services. Appreciate the commentary about getting mid-single-digit growth by midyear. I guess, how should we think about growth in the first half then, you know, with what you're seeing, you know, would it be fair to think you'd be flat to low single digits first half? Just any color on how what the services trajectory could look like to get back to that mid-single digits by midyear.
Neil Johnston: Sure, Stephen. Yeah. When you think about our services business, it'll be a story of sort of gradual improvement as we go through the year. What we are committed to is getting back to that mid-single-digit growth rate by midyear and certainly for the back half of the year. We started to see some good progress, you know, but it's just but it's slow. Eighty percent of our services business comes from, you know, sort of recurring contracts. Starting to see some nice wins will certainly help the back half of the year, especially in our global occupier services business. And in our property management business. But twenty percent is project management. And so that's the part where once we start seeing momentum, that'll pick up quite quickly, but it will take a while. You know, in EMEA, we have finished a lot of the reconfiguration, so expect stronger growth there. APAC is certainly a very strong services market. And in the Americas, you saw that both in our facility services business and in our property management business, both of those returned to growth in the fourth quarter. So expect some good things there.
Stephen Sheldon: Alright. Good to hear. Thank you.
Operator: The next question comes from Anthony Paolone with JPMorgan. Please go ahead.
Anthony Paolone: Thank you, and good morning. First question is on the leasing outlook where you said mid-single digits growth and I was wondering if you can give us a little bit more detail and thoughts around where you see it stronger or weaker both by property type and perhaps geography?
Michelle MacKay: Okay. Let me good morning, Tony. Let me give you a little context around what we're seeing in the office leasing and we can talk about market for that. In office, net absorption is improving, and Q4 was one of the strongest quarters of demand since the pandemic. Nearly half of the markets we track registered positive absorption. And an important data point is that sublease space has peaked and is trending lower indicating businesses are taking back space and using it again. Return to office is quite clearly trending higher. The list of companies mandating three, four, five days a week is growing. But, anyway, it's absolutely trending to more in-office attendance. And the quality bias remains high, which means higher rents. In industrial, it's still normalizing, from record demand coming out of the pandemic, but it's still healthy. Net absorption there is still positive. Vacancy is going a bit higher, but in some ways, that's okay. Because during the pandemic and post the pandemic, there were fifteen to twenty percent rent growth rates that were not sustainable. And the market on whole and industrial logistics needed more space options. But those long-term engines remain strong. As I mentioned in my script, e-commerce, consumer spending on goods, population growth, and onshoring. And then if we reflect on particular markets where we saw strength in net absorption over the course of the year, Brooklyn, New York is a standout. Tampa is a standout. Baltimore's a standout. Nashville's a standout. Another area of the country, in the US in particular, where they're still making progress in absorption, is obviously San Francisco, Dallas, DC. These are all examples of really strong historical markets that still need to do a bit more in terms of absorption.
Anthony Paolone: Great. Thank you. And then my second question relates to the investments you're making into the business and the recruiting efforts. It is pretty noticeable from the outside to see what you all have been doing. And you mentioned just the investments creating some margin headwinds. So I was wondering if you could just talk about how it works, like, is it that you give new recruits higher splits or guarantees? Just wondering, you know, what creates the margin headwind when you go out and, you know, add producers.
Michelle MacKay: Understood. It's not quite that narrow, Tony, because we're investing in the three buckets that I outlined in the script. Talent being one of them, but when we talk about investments in our organic growth to increase market share in sectors or geos to capture more to market, to improve client retention. And build infrastructure. That's where we're talking about putting some pressure directly on margins.
Anthony Paolone: Okay. Understand. Thank you.
Operator: The next question comes from Julian Lewin with GS. Please go ahead.
Julian Lewin: Hi. Can you hear me?
Operator: Yep. We can hear you.
Julian Lewin: Okay. Great. On the industrial front, I wanted to dig into some of those comments. You know, I was wondering, is there any signs maybe from occupiers or buyers of sort of taking a step back to assess trade policy uncertainty before making decisions. I'm just sort of wondering if that's been part of the slower execution year to date. You sort of noted on the capital market side.
Michelle MacKay: Specifically, Julian oh, and welcome, Julian. I believe this is your first call with us. Really, in terms of industrial, it's too early to draw any definitive conclusions. The policy situation remains fluid and unpredictable, and we're studying it. Our clients are studying it, but there's a lot we don't know in terms of precise timing and scope of things like tariffs and how policy is gonna change and how it'll impact property. Having said that on whole, property is proven throughout history in many administrations that it can navigate these changes. And importantly is we're a global business. Policy changes that negatively impact one market could positively impact another. And remember that in terms of our own position to all of this, we're an advisory business. In times of uncertainty, people need solutions. Which means they're bringing us in to help solve. That could mean expansion, contraction, build-out, relocation any of these things.
Julian Lewin: Got it. That's very helpful. And maybe touching on sort of the strength the really impressive strength you saw in the capital markets business in the fourth quarter. Maybe specifically looking at APAC, you noted strength in Japan and Australia. Just want to get a sense of how sustainable you feel those the sort of trends that we saw in the fourth quarter could be sort of going into 2025.
Michelle MacKay: Yeah. Those are very strong markets for us. But also because they were markets where we made investments in late 2022. And so we're seeing the fruits of our labor with regard to those markets in particular, bringing in capital markets expertise.
Julian Lewin: Okay. Great. Thank you so much.
Operator: Again, if you have a question, please press star then one. Our next question comes from Michael Griffin with Citi. Please go ahead.
Michael Griffin: Great. Michelle, I want to go back to your comments just around transaction activity and expectations for the year. Obviously, it seems like we're in this higher for longer rate environment. You know, it doesn't seem like the Fed's going to cut this year, at least as it stands right now. So you know, as you think about the outlook, what is the catalyst for incremental transaction activity? Is it debt maturity driven? Are sellers finally capitulating on price? You know, what's gonna get that engine to start picking back up?
Michelle MacKay: Okay. I'm gonna give you our perspectives and our thesis around this. We've been projecting and continue to project that the stage is being set for steady expansion in capital markets. And, frankly, that is a healthier path for the market than the originally anticipated hockey stick recovery. And let me give you some data around your question and in support of that thesis. What we see is that cap rates have largely reached calibrated, which means that leverage is neutral to positive on most assets. That which means the levered player can come back into the capital markets world. DVD office fixed rate borrowing on average is around 7%. But the cap is around 8.25%. Industrial is averaging around 6.5% on a cap rate basis. Mid to high fives on financing costs. Multifamily remains neutral. Cap rates and borrowing costs, so there's still a lot of work to do in that particular sector.
Michael Griffin: Great. That's some helpful context. And then maybe just one kind of following up on the theme within office. Clearly, leasing has continued to improve there. I think the general understanding is that's mainly for kind of the top-tier higher quality buildings, but in markets that continue to show strength, maybe like New York as an example, have you started to see a spillover effect into, you know, maybe lower-tier lower price point buildings that are seeing incremental leasing demand as a result of kind of the market's improvement?
Michelle MacKay: Yeah. You're spot on with that one. The quality base has remained high quality office remains in high demand, and there's not enough of it. And the construction pipeline over the past several years has been lean. The lowest in over a decade. So the new space is leased up pretty much, and the demand is trickling down to the next best thing.
Michael Griffin: Great. That's it for me.
Operator: Seeing that there are no further questions in the queue, this concludes our question and answer session. I would like to turn the conference back over to Michelle MacKay for any closing remarks.
Michelle MacKay: Thank you, everyone, and we look forward to speaking to you again after first-quarter earnings.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.